Operator: Ladies and gentlemen, welcome to the Atlantica Yield's First Quarter 2016 Earnings Presentation Conference Call. Atlantica Yield is a total return company that owns a diversified portfolio of contracted assets in the energy and environment sectors in North and South America and certain markets in EMEA. Atlantica Yield focuses on providing a predictable and growing quarterly dividend to its shareholders. Just a reminder that this call is being webcasted live on the Internet and the replay of this call will be available at the Atlantica Yield Corporate Website, www.atlanticayield com. Joining us for today's conference call is Santiago Seage, Chief Executive Officer; Francisco Martinez-Davis, Chief Financial Officer and Leire Perez, Director of Investor Relations. As usual, at the end of the conference call we will open the lines for the Q&A session. I will now pass you over to Mr. Santiago Seage. Please go ahead, sir.
Santiago Seage: Thank you. Good morning. Thank you, everybody for joining us today in Atlantica Yield's first quarter 2016 conference call. Please proceed to Slide 3, where we will start the presentation with the key messages. In first place we're very pleased to announce that we've closed our first quarter of the year with excellent operating results in terms of revenue, further adjusted EBITDA and cash generation at the project companies. Our assets in general have shown a very good performance, in line with expectations. In fact, the assets have generated more than $18 million of cash in the quarter. In second place, we've generated CAFD, our cash available for distribution in line with expectations taking into account the [visual] of the first quarter and it's seasonality. With this, we're on track to meet our guidance for 2016 in all the metrics shared at the beginning of the year. In addition, we have made good progress when working towards achieving full autonomy from our sponsor and managing our sponsor-related risks. Regarding waivers that we require in our project finance agreements, we continue our negotiations with lenders in order to obtain those waivers on the cross default provisions and we have additionally secured four more waivers regarding our sponsor ownership in Atlantica. We still have clearly significant work to be done, but we've made very important progress on these very important fronts of increasing autonomy and securing the waivers required in our project finance agreements. And finally we would like to spend some time at the end of the presentation regarding our view of the evaluation versus the price of our equity to date. We consider that the intrinsic value of our current portfolio even without including any growth is not reflected in the current share price. In fact we do plan to grow, as we explained in our last quarterly presentation, we do plan to grow towards the end of the year and in 2017 and we believe that that is not reflected either in the current price. With that, if we turn to Page 6 in the presentation, we're going to now review the main results for the quarter. As you can see, in the first quarter we've achieved what we consider our excellent results first, on revenues where we have recorded $206 million in revenues representing a 74% increase period-over-period. Further adjusted EBITDA has reached $155 million compared with $105 million in the same quarter of 2015. The decrease that you see that in EBITDA margin has been mainly due to fact that our mix of assets is different now and to the fact that we have not received in the first quarter of 2016 our dividend from the preferred equity investment in Brazil. Additionally, we have generated $18.7 million of cash available for distribution in the quarter, including a one-time impact of $14.9 million coming from the partial refinancing of a project ATN 2 specifically. As we will see later CAFD in first quarter of the year is typically lower than in the rest of the quarters due to seasonality in cash distributions. In fact our CAFD in the month of April has already been similar to the complete Q1. On Slide 7, you can see our revenues and further adjusted EBITDA breakdown by geography and business sector, showing good results across all segments and all geographies. In our EMEA region, the very high growth is driven by the integration of recent acquisitions as well as operational excellence in many of these mature assets. In North America, the increasing revenue was mainly driven by higher production in our two solar plants in the U.S, Solana and Mojave. In South America, growth was mainly explained by the acquisition of our last transmission line in Peru, ATN2. Looking at further adjusted EBITDA margins, you can see the impact of not receiving the dividend in Brazil that I mentioned before and looking at the results by business sector, we can see that in renewable energy, revenues have more than doubled, thanks to the acquisitions made during last year, while in conventional power, our asset in Mexico as ACT continues delivering excellent results above expectations. In transmission lines, higher revenues are driven primarily by the acquisition of the line I mentioned before in Peru, during 2015. And finally Water assets have delivered again very good results. Moving on Slide Number 8, the good financial results are based on the solid overall operating performance of our portfolio. Within renewable, collection reached 514 Gigawatt hours in this quarter, compared to 319 Gigawatt hours in the same quarter last year. Our Solar assets achieved operating results in line or above expectations during the quarter. In Solana, we are currently implementing the previously announced enhancements needed at the plant. We still have significant work in front of us to improve and optimize these assets. Mojave, has delivered very good results in the quarter after scheduled stop for maintenance in the month of January. In fact, in February and March in many days Mojave has been able to beat the technical model, respected technical capacity. Kaxu, our asset in South Africa has completed its first year of operations, exceeding expectations for the quarter, thanks partially to very high levels of summer solar aviation. Finally in Spain, our portfolio of solar assets has continued to demonstrate very strong performance and maturity. Wind assets have shown very good operating results although wind has been lower than expected in the first quarter due El Niño phenomenon. In April, on the contrary we have had a very good month in terms of wind resource and the assets have been producing above expectations. Our conventional power generating facility in Mexico as I mentioned before, exceeded its contractual targets and in spite of the fact that they have scheduled maintenance stop during the quarter. Finally our recognition lines and water plants have either comfortably achieved or exceeded forecasted availability levels. I will now turn the call to Francisco who have been called today and is going to try to go through the financial metrics.
Francisco Martinez-Davis : Thank you very much, Santiago. On Slide 9, we have included updated guidance on our EBITDA and CAFD seasonality. Regarding EBITDA, seasonality in solar assets in the U.S. and Spain is balanced by our availability based contracts in conventional, transmission line and water segments, which provide stability to the portfolio and also by wind assets and the South African solar plant, both delivering higher EBITDA in quarter one and quarter four, both the solar assets that peaked in quarter two and in quarter three. In our cash flow and our cash available for distribution however, seasonality is higher. As you know with the fine cash available for distribution, as cash distributed from project companies to Atlantica Yield holding level, less corporate G&A and corporate interests. In most of our projects, cash distribution from project companies occur as specific times of the year defined in general by the terms of our project financing agreements. As a result CAFD is typically lower in the first quarter and higher in the third quarter of the year. On Slide 10 as you can see, we have achieved operating cash flow of nearly $85 million during the first quarter of that year, a significant increase with respect to the first quarter of last year increase. The increase is driven by good cash generation of assets acquired during 2015. Investing cash flow corresponds mainly to the scheduled closing of the transaction of our 13% stake in Solar Corp One and Two that we announced in 2015 and movements in our restricted cash accounts classified in financial investments. Financing cash flow includes $14.9 million of proceeds from the partial refinancing of ATN2 and scheduled principal debt repayments. Moving on to the next Slide page 11, our total liquidity has increased by approximately $76 million to $667 million, thanks to a strong cash generation by our project companies. Our total liquidity includes $45.4 million of corporate cash at Atlantica Yield, $529.4 million of cash at project companies of which $210 million are restricted and a further $93 million are also restricted in the form of short term financial investments. As you know, we've currently negotiated with some of our lenders several waivers and as we explained on our 2015 result presentation, we expect that the final outcome will require us to maintain some additional cash at the project level. Taking a conservative approach, we have classified as restricted cash our best estimate at this time, which explains the increase in restricted cash. Despite this reclassification our unrestricted cash at the project companies have a healthy increase of $41 million. Turning to Slide 12, we have included a reconciliation of our corporate cash from December 31, 2015, till the end of March. As you can see our corporate cash position has remained constant. In the first place, our project companies generated $87.5 during the quarter after servicing their debt obligations. From that amount we used $34.4 million to increase our restricted cash accounts as we have explained earlier. In additional -- in addition, our available cash at the project companies increased by $41.1 million as you know we define cash available for distribution as cash that is distributed from project companies to Atlantica Yield holding company level. Given that these distributions are lower in the first quarter due to seasonality, there is an increase in cash that as of March 31 is sitting at project companies. Furthermore we paid $8.5 million in G&A and corporate interest and we have obtained $14.9 million from the partial refinancing of ATN2 as we previously explained. Finally we used $19.1 million to close acquisition of our 13% stake in Solar Corp 1 and 2 from JGC our Japanese Partner in the project. As a reminder Solar Corp 1 and 2 is a 100 megawatt solar assets in Spain where we already own 74% and this acquisition was part of our fourth round of acquisitions announced in 2015. The following slide on Slide 13 you can see the details of our net deposition, which consists of net corporate debt of $625 million and net project debt of $5.1 billion. Net debt increased from December 31, 2015, mainly due to the $113 million of translation differences in our Europe denominated project debt. With these levels of corporate leverage and considering our expected CAFD before corporate interest for 2016, our corporate leverage continues to be below three times CAFD. As you know our strategy is to use non-recourse project financing in all assets. We intend to limit corporate debt. Thank you very much for your attention and now I’ll pass it back to Santiago.
Santiago Seage: Thank you, Francisco. So in summary, regarding results for the quarter, a very strong quarter in terms of revenues EBITDA but also cash generation at the project level where part of that is in CAFD this quarter and the rest we will seen as CAFD in the remaining quarters when we distribute that cash from the project companies to the holding level. We are now going to continue with the second quarter representation on Page 15, where we want to update you regarding our progress to mitigate risks from our sponsor and to achieve autonomy in all dimensions. As we announced in our last earnings call in the first half of 2016, our focus remains on execution, executing on these, obviously on operational performance, but also executing regarding autonomy from the sponsor and risk mitigation. In terms of risks, the one we have been talking about now for a couple of quarters are the waivers that we require in some of our project finance agreements. As you know there are two types of waivers, the first one repairs to cross default closes with our sponsor. At this point in time, we have four assets where these provisions still apply, Solana, Mojave, Kaxu and Cadonal, our negotiations are ongoing and we are optimistic regarding the resolution of these waivers or a clear majority of these waivers. Regarding the second type of waivers, those that are related to a sponsor ownership minimum levels in some of our projects, we have made significant progress and we have obtained another four waivers for our projects. Therefore in total, we now have waivers for 10 of the projects, regarding a sponsor ownership and we are working towards achieving the remaining 10 waivers. Overall, progress has been good and we are relevant, but we still need some time to reach our objectives in terms of waivers. In second place, regarding our preferred equity investment in Brazil, in April Abengoa has presented a consolidated restructuring plan in front of the Court in Brazil on behalf of the company where we own a preferred equity investment and on behalf of two other of their subsidiaries. We therefore continue working on defending our interests and as you know we additionally have a right to retain dividends to Abengoa and their certain scenarios. In terms of our process of gaining autonomy from our sponsor, our back office operation is in a very advanced stage. Additionally regarding IT separation, we have created an experienced team in house that is working together with external consultants and we expect to finish this separation process before the end of the year. Finally our Annual Shareholders Meetings approved last Wednesday the change our legal name to Atlantica Yield PLC as expected. On Slide 16, regarding dividend, in February 2016 so we informed you, our Board of Directors decided to postpone the decision regarding the fourth quarter 2015 dividend. Considering the uncertainties caused by Abengoa’s situation, the Board has now decided not to declare it. Regarding the dividend corresponding to the first quarter of 2016, the Board of Directors have decided to postpone the decision on that dividend until we have obtained a sufficient number of waivers, a majority of -- a clear majority of those waivers. We know that this is a very sensitive topic and we know that many of our shareholders have a strong point of view regarding dividend. However, at this point time the Board of Directors considers that this is the best option to protect the value of the company and to position the company for successful 2016. We currently -- in fact we currently expect that in our next quarterly results presentation, we will have achieved enough waivers. Additionally, we currently expect to meet our guidance regarding dividends and to be clear, four quarterly dividends corresponding to their respective quarters in 2016. Going to Slide 17, we want to finish today's presentation with a few comments regarding the evaluation or the value in the market of our stock. In our opinion, as I mentioned at the beginning, the stock price does not reflect the intrinsic value of the existing assets in our portfolio even if we do not include any growth whatsoever. In fact we believe that if you perform let’s say a bottom-up DCA evaluation of our portfolio, you should arrive to a significantly higher number than our market price. Additionally, as Management we believe that we will be able to grow accretively towards the end of the year and in 2017 and going forward. We do have and we are working on a number of significant opportunities for equity growth and we plan to push you some of them starting with the smaller ones toward the end of the year. On Slide 18, we want to show you some data that you're obviously familiar with, but we want to point out that currently our shares are trading well below our accounting equity book value. In fact if you look at our financial statements, our total equity book value is close to $2 billion. If we deduct non-controlling interests, which does not belong to us and you add the cash grants collected in the past, this as you know is our cash collected that we don't have to reimburse, we get to an equity book value per share, which is close to $27. Obviously we felt including any growth as I started with the equity book value. This demonstrates that our shares or we believe that this demonstrates that our shares are currently trading significantly below this accounting book value. In fact, today, our market capitalization is around 60% of the equity book value, including cash grants. On Slide 19, we have presented another way to look at the same situation. If you look at our run rate CAFD, that we expect from the existing portfolio, you remember that these numbers, these were shared in the last quarterly presentation, the number we shared was between $205 million and $215 million. If you compare that with our current market cap, you will see that our CAFD yield is around that 13% without considering any improvement in existing assets beyond run rate without considering any refinancing without considering any growth ever again. Now if you remember that many of our long-term PPAs have inflation based price increase provisions or if you can see there that the assets can be optimized going forward, or if you consider that at some point in time, we should be able to grow quickly again, either from third parties, from our current sponsorer or from other sponsorers, we believe that the CAFD yield of 13% shows that there is a gap here between value and price. We obviously understand that in order for you to see -- for you investors to see these valuation gaps, we need to help those of you who run the models. In fact, we have been working on recommendation from many of you and in the appendix of this presentation, you will find some additional disclosures regarding the number of areas that we believe will help you in your evaluations. One of the important point for us is the cost of equity that you use when you do your discounted cash flow evaluations. We believe that in our case, company that owns assets contracted in the long term that are in operation, the right way to calculate the cost of equity is by taking the cost of debt of our offtakers, remember that in most cases, our offtakers have bonds trading in the market and our finance team has spend some time putting together averages of the yields of those bonds few days ago and providing you in the appendix averages for each of our offtakers. We believe that, that cost of debt plus has more risk premium operating risk premium, however you want to call it is the right way to come up with a cost of equity for our portfolio that makes sense. Like always teams available for questions regarding these or the additional disclosures of any topics. In fact, next week we plan to spend time in New York and Boston meeting investors and we will be happy to guide you through these questions. With this, I would conclude the presentation of our first quarter 2016 results and leave the call open for questions. Thanks a lot for your attention. Operator, we're ready for Q&A.
Operator: [Operator Instructions] First question comes from Stephen Byrd from Morgan Stanley. Please go ahead sir.
Stephen Byrd: Hi, thanks for taking my questions. I wanted to start with what you mentioned about dividend payments, it's encouraging that you believe by next quarter you’ll have enough waivers to pay dividend and you made a statement that the intention is to pay four quarterly dividends in 2016. I was just a little confused, does that effectively mean that you would target catch-up payments for the quarters that weren’t paid such that you did have four payments or did it mean something else, I just wasn’t sure?
Santiago Seage: Okay. What I said is that our current intention obviously subject to all the things I mentioned before is to be four dividends corresponding to each of the quarters in 2016. Obviously, the last one would be a dividend declared for the fourth quarter, which is payable in the following year.
Stephen Byrd: Understood, but if you're not paying a dividend in the first quarter, would you then have a one additional payment in the calendar year '16 or how would that given that you're going to be off by one payment, how would that play out?
Santiago Seage: Let me try to explain myself again. Our intention if things work as I explained before would be to declare a dividend for the first dividend for the first quarter later then usually, but it would still be a dividend let’s say from a business point of you corresponding to the first quarter.
Stephen Byrd: Perfect, that’s very clear, that’s great. Wanted to shift over to Solana, could you just give us a little more detail on the status of operations towards time to have that asset performing as you want? What sort of risk around being able to have that asset being fully at the level you expect do you see?
Santiago Seage: At this point time as I mentioned in the call, we are implementing a number of enhancements of improvements that we have been discussing for the last few months. Our expectation at this point in time is that this is going to take a few months this year. We're not going to -- we don’t expect to see Solana this year, reaching run rate and we expect that with improvements we are making now, next year we should be at or very close to run rate. That’s our current expectation. Obviously with the caveats that we're still implementing those changes.
Stephen Byrd: Understood, and thus your guidance reflect Solana not being at full operations in 2016?
Santiago Seage: I didn’t understand you sorry?
Stephen Byrd: In terms of your expectations for cash flow for 2016 how are you to factor in…
Santiago Seage: Yes, it was factoring. So, I’m talking versus our rate. I’m not talking versus our expectations or our guidance.
Stephen Byrd: Understood, understood. Just one last one and I’ll go back into the queue, you had given a restricted cash estimate, which was helpful for us to understand the amount of cash that you would expect to be restricted from negotiation. Does that include an estimate for all projects in terms of what you expect I guess it's $210 million. Is that sort of your best estimate of total restricted cash following all negotiations or is that just for some of those negotiations?
Santiago Seage: We, as Francisco explained, we have included an estimation which is our current best estimation for all the assets where we believe we might end up having to restrain some cash.
Stephen Byrd: That’s great. Thanks very much. I'll get back in the queue.
Operator: Next question comes from Sean McLoughlin from HSBC. Please go ahead sir.
Sean McLoughlin: Thank you. Two questions for me. In highlighting the difference between what you perceive is your value in how the markets sees, have you considered a possible sale of assets to try to crystallize in the market to the value that you hold in your portfolio? And secondly, I wanted just an update on the ONM side at what stage are you in let’s say fully detaching Abengoa from the disposed and when you expect that to be completed and any let's say short term operational concerns that that we should be aware of related to this? Thanks.
Santiago Seage: Thank you. Regarding the facility of selling an asset or assets in order to demonstrate the value in the portfolio, this is clearly an option that as a Board we need to consider. At this point in time we're not engaged in proactive process to do this. The way we think about this is as we shared with the market the first half of the year is about focusing on execution, managing the risks and the autonomy. We expect that with that, the price should start to reflect that. Now if at some point time in the future, in a few quarter from now, we have not seen improvement regarding the price, we'll need to consider all options to demonstrate the value in our portfolio and what you mention selling an asset is clearly one of the options but it's an option we would consider as Management as an Board of Directors. For some time we can leave with this location, but we cannot leave with this location forever as you can imagine and therefore we will take whatever action is required to demonstrate the value of the portfolio. Regarding your second question, you were asking about operation and maintenance contracts where Abengoa is providing that service. As of today Abengoa is performing in those contacts and therefore we do not plan and we cannot cancel existing contracts for operation and maintenance. What we have built as you know are back-up plans in case that at some point in time in any of the assets where they are the operator, they would not perform and those plants are in place, but as of today, Abengoa is performing in this activity vis-à-vis our assets and in fact the numbers regarding the quarter or regarding April show that at this point in time we don’t have issues on that front. Back office is separate -- is different. In back office functions, we are totaling splitting things. In ONM for the moment we're keeping the contracts we have.
Sean McLoughlin: Okay. Thank you.
Operator: Next question comes from Stephen Byrd from Morgan Stanley. Please go ahead sir.
Stephen Byrd: Yes. I just wanted to touch on the guidance that you had laid out on the last call, where you did indicated 2016 given $1.45 to $1.80 a share are you still in line with that guidance?
Santiago Seage: As I mentioned, during the call, we're keeping the guidance we gave last quarter, which are the numbers you mentioned.
Stephen Byrd: Okay. That’s great. Just going to my list again, the ownership waivers you mentioned, I think you have -- you've collected 10 waivers and I just wondered if in those waivers that you've already collected for the ownership, are some of the major projects in that group of waivers?
Santiago Seage: So, we do have 10 out of 20 and some of the larger assets are not in that list. So, some of the larger assets are -- we're still working on them.
Stephen Byrd: Okay. That’s great. I guess just going back to the prior questions on ONM costs, as you look at overall, I just wanted to make sure I understood at a high level, the cost that you see, do you see any unforeseen issues in terms of the ONM cost structure that’s all have as a separate company?
Santiago Seage: At point in time, we do not expect any significant change in any scenario from our cost point of view. We don’t expect higher cost. We don’t expect a lower cost.
Stephen Byrd: Okay. That’s great and then just last one for me, in terms of the cash from the refinancing, I just want to make sure I heard that correct, was that $14.9 million that you received from the refinancing?
Santiago Seage: That’s correct.
Stephen Byrd: Okay. That’s great. That’s all I have. Thank you.
Operator: Next question comes from Brian Taddeo from Baird. Please go ahead sir.
Brian Taddeo: Good morning. Couple for me. One more as a percentage to kind of the separation. I think on last call, you talked about migrating some of the FX contracts from Abengoa to third parties. Can you just give us an update as to where that stands?
Francisco Martinez-Davis: Hello, it's Francisco Martinez-Davis. We currently have five-year hedge agreement with Abengoa. They're still in place. That is an agreement under the financial support agreement that will continue. Once Abengoa is restructured and what we have done and we mentioned in the call if we've evaluated different alternatives in case Abengoa was not there to provide the service, we've had received other operators that we will coverage on CAFD coming out in years. So we do have a backup plan if needed.
Brian Taddeo: So you're certainly not looking to move them over unless Abengoa does not perform is the situation as I understand it.
Francisco Martinez-Davis: That is correct.
Brian Taddeo: Okay. Another question with regard to the ongoing -- receiving the ongoing waivers, it's good to hear you expect to have a lot of them by next quarter, what is the time horizon, when does it become an issue if you don't have them done by the end of the second quarter, does that become an issue or what sort of leeway do you used to have in terms of timing to get those done?
Santiago Seage: So what we're asking for here are something I would define without being a lawyer, sorry for that, as if we end this waiver. So the event did not happen, but we're asking for a waiver regarding a potential change in ownership. As you know, Abengoa today owns 41% of the company, therefore there is no event of nothing, but we're preemptively approaching all lenders saying can you give me a waiver today for an event that might happen in the future. Therefore if Abengoa continued having their 41%, we could go on like this for a long time, but obviously Abengoa sold or lost part of their shares there would be a reason for asking for that waiver.
Brian Taddeo: How about on the four remaining financial waivers as well?
Santiago Seage: It's the same thing. So we have approached as well asking can you give me a waiver because there is a cross default there. We have potential default by this mantra.
Brian Taddeo: Okay. And then another one with regard to the your CAFD guidance for the year, can you just remind us how much of that is tied to the operational cash flow versus how much of that is tied to refinancing of project that cash coming back?
Santiago Seage: So in principle, the guidance we gave you obviously is for operational CAFD, We, at this point in time we are on plan to do any other refinancing but the one you saw in the Q1.
Brian Taddeo: So was that $14 million, is that in the annual CAFD number?
Santiago Seage: $14.9 million, yes.
Brian Taddeo: Okay. So that's part of the original guidance.
Santiago Seage: Well obviously when we did the guidance, we didn't count on this. Therefore, later in the year, we will need to see if we can increase the guidance, thanks to this one-off or not, but we didn't count on our refinancing when we calculated our guidance. We normally do guidance based on ongoing CAFD without one-offs.
Brian Taddeo: Okay. So the way I should understand that is really operational at this point is about $14 million lower and then we'll assess as the year goes on.
Santiago Seage: Well the way I would look at it is, we might be able to increase our CAFD guidance later in the year because we did have a one-off or we're in $14.9 million more conservative than what some investors would like us to be.
Brian Taddeo: Got you. Okay. And then one last one for me, as you talk about the growth potential at the end of year under $17 million, is that -- would you expect that being done via M&A or organic growth and then how would think about funding any of those possibilities?
Santiago Seage: So the pipeline we're looking at now especially for the end of the year is made up of a small acquisitions in much less competitive environment than larger acquisitions and therefore regarding financing, we could be considering either some cash at hand or a small transaction somewhere. We're not thinking about doing any large transaction. We want to go back to growth by making sure that we show to investors that we know how to do growth equitably and we believe at least in the short term it's going to be much easier to do equity growth, do small transactions where some of our big competitors are not spending their time,
Brian Taddeo: Okay. Thank you very much for all the information.
Operator: There are no further questions. Thank you.
Santiago Seage: Okay. Then thanks to everybody and as I mentioned before, we'll be in New York and Boston couple of days next week. If you want to meet us, let us know. Thank you very much operator.